Operator: Good morning, ladies and gentlemen, and welcome to Genworth Financial's Third Quarter 2025 Earnings Conference Call. My name is Lisa, and I'll be your coordinator today. [Operator Instructions] As a reminder, the conference is being recorded for replay purposes. [Operator Instructions] I would now like to turn the presentation over to Christine Jewell, Head of Investor Relations. Please go ahead.
Christine Jewell: Thank you, and good morning. Welcome to Genworth's Third Quarter 2025 Earnings Call. The slide presentation that accompanies this call is available on the Investor Relations section of the Genworth website investors.genworth.com. Our earnings release and financial supplement can also be found there, and we encourage you to review these materials. Speaking today will be Tom McInerney, President and Chief Executive Officer; and Jerome Upton, Chief Financial Officer. Following our prepared remarks, we will open the call up for a question-and-answer period. In addition to our speakers, Jamala Arland, President and CEO of our U.S. Life Insurance business; Greg Karawan, General Counsel; Kelly Saltzgaber, Chief Investment Officer; and Samir Shah, CEO of CareScout Services, will also be available to take your questions. During the call this morning, we may make various forward-looking statements. Our actual results may differ materially from such statements. We advise you to read the cautionary notes regarding forward-looking statements in our earnings release and related presentation as well as the risk factors of our most recent annual report on Form 10-K as filed with the SEC. This morning's discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. In our investor materials, non-GAAP measures have been reconciled to GAAP where required in accordance with SEC rules. Also, references to statutory results are estimates due to the timing of the filing of the statutory statements. And now I'll turn the call over to our President and CEO, Tom McInerney.
Thomas McInerney: Thank you, Christine, and thank you for taking the time to join our third quarter earnings call this morning. Genworth reported solid net income of $116 million with adjusted operating income of $17 million or $0.04 per share. This quarter's results were driven again by strong performance from Enact, our mortgage insurance subsidiary, which contributed $134 million to Genworth's adjusted operating income. Our estimated pretax statutory income for our U.S. life insurance companies was approximately $68 million on a year-to-date basis through the end of the third quarter, including the net favorable impacts to annuities from equity market and interest rate movements. Genworth ended the quarter with a healthy liquidity position, holding $254 million of cash and liquid assets. Genworth continues to execute against our 3 strategic priorities. First, we continue to create value for shareholders through Enact's growing market value and capital returns earned through our approximately 81% ownership stake in the company. Enact remains a key source of cash to Genworth, fueling our share repurchases and growth investments in CareScout. In the third quarter, we received $110 million of capital returns from Enact, bringing us to a total of $1.2 billion received from Enact since its IPO in 2021. Enact announced yesterday that it now expects to return approximately $500 million of capital to shareholders this year, highlighting the continued strong performance of its business. Supported by these strong cash flows, we continue to execute our own share repurchase strategy through the third quarter. On September 18, we announced a new $350 million repurchase authorization, underscoring the Board's confidence in Genworth's strategy and financial condition. We've made strong progress returning capital through share repurchases at prices that, in our view, represent a discount to intrinsic value. Turning to our second strategic priority. We made additional progress in our self-sustaining and customer-centric LTC, life and annuity legacy businesses. In the third quarter, Genworth secured $44 million of gross incremental premium approvals with an average premium increase of 63%. Our multiyear rate action plan has achieved $31.8 billion in net present value since it began in 2012, driven primarily by benefit reductions and premium increases. The MYRAP continues to be our most effective lever for stabilizing our legacy books of business. As we've said recently, we continue to expect approvals to be smaller this year versus last year in alignment with our plans. Finally, we continue to drive future growth through CareScout. CareScout has made several important announcements in recent weeks as we execute on our strategy to build a comprehensive agent care platform that helps people understand, find and fund the quality of long-term care they need. In CareScout Services, we're maintaining a rapid pace of network expansion. The CareScout Quality Network now includes over 700 providers with more than 950 locations nationwide, covering over 95% of the U.S. population aged 65 and older. This quarter, we continued to add providers in high-demand markets and areas where we can further strengthen the network. Each provider meets CareScout's rigorous credentialing standards, ensuring quality and consistency for consumers who rely on our services. CareScout Services achieved another strong quarter of matches between LTC policyholders and CQN home care providers. We have now achieved more than 2,500 matches year-to-date through October across 48 states, exceeding our original match goal for the year. We now expect to finish 2025 with over 3,000 matches. The CareScout Quality Network has expanded access to consumers in all 50 states and anyone searching for home care can visit carescout.com to filter by location and care needs to connect with quality providers. As CareScout's network expands and brand awareness grows, we expect increased utilization for consumers as well as a higher share of Genworth's long-term care claimants to choose CQN providers. This will help policyholders stretch every benefit dollar further and generate claim savings for Genworth over time. We also continue to work with other insurance carriers managing their closed LTC blocks. Two pilot programs are in progress, and we are in various stages of engagement with 3 other LTC insurers. We also took an important strategic step with the acquisition of Seniorly, a leading platform with a large network of senior living communities that help families with care planning and placement through its growing adviser network. The transaction has now closed and our focus is on integration to enhance and extend our value proposition to millions of aging consumers navigating aging and care decisions. As we expand the CareScout Quality Network to span across both home care and assisted living, we can help a growing number of older adults who can no longer live alone and are seeking assisted living options. The acquisition also accelerates our expansion into the direct-to-consumer channel, allowing us to reach more aging adults and families beyond Genworth's policyholder base. Seniorly attracts thousands of consumers every month who are exploring different aging care solutions, including senior living options. Based on their individual needs, we can now connect these consumers to the full range of CareScout offerings from personalized care plans to our national network of home care providers and assisted living communities. Over the years, Seniorly has developed deep expertise in combining technology with a human touch to guide families through the aging journey. This approach aligns perfectly with CareScout's mission to deliver high-quality personalized support to families navigating long-term care decisions. We believe the strong strategic and cultural alignment positions CareScout for continued growth and leadership as we build a trusted aging care platform of the future. As the CareScout Quality Network expands to include assisted living communities, we will shift to a revenue model that is different from home care services. Unlike our ongoing discount structure for home care services, CareScout will earn a onetime placement fee when a customer successfully moves into the contracted community. This model is in line with how the broader industry operates. Through this transition, our consumer value proposition around quality, price and service remains in place. We anticipate having a diversified group of communities in the network along different price points to enable more choice for consumers. As our care teams help aging consumers find the right community and the level of care for them, we look forward to helping families avoid unnecessary spend and enable more stable claim patterns for insurers. In parallel with expanding the network, we're scaling additional fee-for-service offerings that generate a growing stream of recurring revenue. Our new care plans product launched in the second quarter continues to gain momentum with consumers and B2B audiences. For a fee of $250, consumers receive a virtual evaluation with a licensed nurse and a personalized care plan outlining practical strategies and local resources to support their aging journey. We plan to launch an in-person evaluation option in the fourth quarter. Over time, we expect to expand both the range of services CareScout offers and the number of customers we serve. Turning to CareScout Insurance. We advanced our strategy to roll out innovative funding solutions that address the rising need for long-term care. On October 1, we launched Care Assurance, CareScout's inaugural stand-alone LTC insurance product. This marks a foundational milestone for CareScout's insurance business with the product now approved in 37 states with additional approvals pending. The CareScout Assurance product is easy to understand and features customizable levels of coverage, inflation protection and individualized policyholder experiences. It also provides access to the CareScout Quality Network for trusted sources of care and blends coverage with personalized service, enabling policyholders to maximize the value of every benefit dollar. We have designed the product to reduce risk, provide attractive returns and minimize the need for future premium increases. Looking ahead towards future offerings, our next product will be an innovative hybrid LTC design that pairs a minimum LTC benefit with low-cost equity funds for accumulation. We're also advancing worksite and association group offerings to broaden distribution through employers and other partners, and we hope to bring these products to market in the near term. As we have said before, from a capital standpoint, our initial 2025 investment of $85 million represents the majority of our planned investment in CareScout Insurance over the next few years. Future capital contributions may vary based on sales level and mix in addition to investment performance and operating expenses. From services to insurance, CareScout is building a human-centered tech-enabled platform designed to simplify and dignify the agent journey. We will continue to grow organically and evaluate select inorganic opportunities as we add care settings, products and customers. Next, I'll provide a quick update on the AXA litigation. As noted last quarter, the U.K. High Court in July issued a favorable judgment holding Santander liable for losses related to the misselling of payment protection insurance. In October, Santander was granted permission to appeal the judgment. We continue to expect this process to take 12 to 18 months and remain confident in AXA's position. If the ruling is upheld, we expect to recover approximately $750 million, subject to exchange rates at that time. And recoveries are not included in our capital allocation plans, but if and when funds are received, we will look to deploy them in line with our priorities, investing in CareScout, returning capital to shareholders and reducing debt. Before I turn the call over to Jerome, I'd like to acknowledge the introduction of the supporting our Seniors Act bipartisan legislation authored by Senator Jacky Rosen of Nevada and Senator John Boozman of Arkansas. This measure will create a national Advisory Commission to assess and provide the Congress specific recommendations on how to improve long-term care service delivery, affordability and workforce adequacy. This legislation uses long-term care needs through a comprehensive lens, echoing the philosophy of CareScout, which helps aging Americans at every step of the process to understand, find and fund the long-term care they need. I'm encouraged by policymakers' increasing attention towards addressing the growing demand and cost for long-term care in the United States as the 70 million baby boomers age and we will continue to work with congressional and other leaders to help advance responsible solutions that meet the moment. In closing, we're pleased with the strong progress we've made across Genworth's 3 strategic priorities, supported by Enact's performance. We're confident in our ability to maintain this momentum and deliver on our objectives going forward.
Jerome Upton: Thank you, Tom, and good morning, everyone. We continue to build on our solid foundation, enhance our financial flexibility and execute on our strategic priorities. Enact once again delivered robust operating performance and maintained a strong capital and liquidity position. We also advanced our multiyear rate action plan, made significant progress advancing CareScout and continued to return capital to shareholders. I'll start with an overview of our financial performance and drivers, followed by an update on our investment portfolio and holding company liquidity before we open the call for Q&A. As shown on Slide 9, third quarter adjusted operating income was $17 million, driven by Enact. Our long-term care Insurance segment reported an adjusted operating loss of $100 million, driven by a remeasurement loss primarily related to unfavorable actual variances from expected experience or A2E. The unfavorable A2E of $107 million pretax was driven by lower terminations and higher benefit utilization. As we previously noted, in 2023 and 2024, we saw an average quarterly loss of approximately $65 million in LTC related to A2E. While results can vary quarter-to-quarter, we still expect full year performance could track closely to that historical average. As a reminder, these GAAP fluctuations do not impact our cash flows, economic value or how we manage the business. Life and Annuities reported adjusted operating income of $4 million in the third quarter. This included an adjusted operating loss of $15 million in life insurance, which improved versus the prior quarter and prior year due to favorable mortality, offset by adjusted operating income of $19 million from annuities. Corporate and Other reported an adjusted operating loss of $21 million for the third quarter, including a $7 million valuation allowance reduction on certain deferred tax assets. Excluding this item, results were consistent with the prior quarter and prior year, reflecting continued investment in CareScout and ongoing holding company debt service. Now taking a closer look at Enact's third quarter performance on Slide 10. Enact delivered $134 million in adjusted operating income, down slightly versus the prior quarter and down 9% versus the prior year, reflecting a lower reserve release. Primary insurance in force grew slightly year-over-year to $272 billion, supported by new insurance written and continued elevated persistency. As shown on Slide 11, Enact's favorable $45 million pretax reserve release drove a loss ratio of 15%. Enact's estimated PMIER sufficiency ratio remained strong at 162% or approximately $1.9 billion above requirements. Genworth's share of Enact's book value, including AOCI, has increased to $4.3 billion at the end of the third quarter, up from $4.1 billion at year-end 2024. This book value growth includes the significant capital returns to Genworth, including $110 million returned in the third quarter. Looking ahead, Enact continues to operate with solid business fundamentals and a strong balance sheet. Enact has recently taken several actions to further enhance its capital and financial flexibility. During the quarter, Enact secured a new forward quota share reinsurance agreement covering the 2027 book year and executed a new $435 million 5-year revolving credit facility. In October, Enact secured an excess of loss reinsurance agreement, also covering a portion of the 2027 book year. With these actions, underscoring the business' commitment to continuing to build financial flexibility, Enact remains well positioned to navigate the uncertainties in the macroeconomic environment. As Tom mentioned, Enact now expects to return a total of approximately $500 million to its shareholders in 2025. Based on our approximate 81% ownership position, we expect to receive around $405 million from Enact for the full year, up from our prior estimate of $325 million. Turning to long-term care insurance, starting on Slide 12. We continue to proactively manage LTC risk and maintain self-sustainability in the legacy U.S. life insurance companies. Our multiyear rate action plan or MYRAP, continues to be our most effective tool for reducing tail risk in LTC. As of the end of the third quarter, we have achieved approximately $31.8 billion of in-force rate actions on a net present value basis. Rate increase approvals this year have been lower than recent years as expected, given large approvals in prior years, but we do anticipate higher approvals in the fourth quarter than we have received on a quarterly basis so far this year. As part of the MYRAP, we offer a suite of options to help policyholders manage premium increases while maintaining meaningful coverage and to enable us to reduce our exposure to certain higher cost benefit features such as 5% compound benefit inflation options and large lifetime benefit amounts. About 61% of policyholders offered a benefit reduction have elected to do so, lowering our long-term risk. These initiatives have helped reduce our exposure to individual LTC policies. with the 5% compound benefit inflation feature decreasing notably to approximately 36%, down from 57% in 2014. In addition to the MYRAP and other benefit reduction strategies, we're reducing risk in innovative ways, including through the CareScout Quality Network and our Live Well | Age Well intervention program, which deliver value for policyholders while also driving claim savings over time. As we said before, we are committed to managing the U.S. life insurance companies as a closed system, leveraging their existing reserves and capital to cover future claims. We will not put capital into the legacy life insurance companies and given the long-tail nature of our LTC insurance policies with peak claim years still over a decade away, we do not expect capital returns from these companies. Slide 13 shows statutory pretax results for the U.S. life insurance companies with a loss of $12 million for the quarter. The LTC loss of $75 million reflected new claims growth as the block ages and higher benefit utilization. Earnings from in-force rate actions of $337 million were up from $322 million in the prior year, excluding the impact of the legal settlements, reflecting continued strong progress on the MYRAP. As a reminder, the prior year included an $88 million benefit from the implementation of the LTC legal settlements, which are now complete. Life Insurance reported a loss of $2 million, including a benefit from favorable mortality in the quarter, and our annuity products reported income of $65 million, reflecting the net favorable impact of equity market and interest rate movements in the quarter. The consolidated risk-based capital ratio for Genworth Life Insurance Company, or GLIC, is estimated to be 303% at the end of September, down slightly since the end of June as the statutory loss was offset by unrealized investment gains. GLIC's consolidated balance sheet remains sound with capital and surplus of $3.6 billion as of the end of September. Our final statutory results will be available on our investor website with our third quarter filings later this month. As we look ahead, I'd like to discuss our approach to this year's annual assumption review, which will be completed in the fourth quarter. While our review is still ongoing, we have been monitoring key trends and can provide some preliminary perspectives. In LTC, our review is primarily focused on short-term trends and key assumptions such as benefit utilization, incidents, terminations and in-force rate actions, which include benefit reduction initiatives. We face pressure from higher benefit utilization and cost of care inflation. We will evaluate this pressure relative to the tailwinds of additional premium rate increases and benefit reductions as well as other initiatives, which will reduce the overall impact in the aggregate. For our life and annuity products, we are reviewing mortality, lapse rates and the potential impacts of the recent changes in interest rates. In parallel with the assumption review, we are conducting statutory cash flow testing for our life insurance companies. While this process is not yet complete, our initial assessment indicates that GLIC margin should remain positive. We will discuss the results of our assumption reviews and statutory cash flow testing on our fourth quarter earnings call. Turning to Slide 14. We continue to see solid performance from our investment portfolio, where the majority of our assets are investment-grade fixed maturities held to support our long-duration liabilities. New cash flows invested in our life insurance companies during the quarter, including alternatives, achieved yields of approximately 6.8%. Our alternative assets program, which is largely focused in diversified private equity investments and has targeted returns of approximately 12% continues to deliver strong results. In the quarter, we saw strong mark-to-market increases on these assets, which was a key driver of our net income, representing a significant portion of our net investment gains in the quarter. We remain focused on growing this program prudently within regulatory limitations due to its robust track record of returns, diversification benefits and natural fit with long-term liabilities. Next, turning to the holding company on Slide 15. We received $110 million in capital from Enact and contributed the remainder of our initial capital investment of $85 million into the new CareScout insurance company. We ended the quarter with $254 million of cash and liquid assets. When evaluating holding company liquidity for the purpose of capital allocation and calculating the buffer to our debt service target, we exclude approximately $145 million cash held for future obligations, including advanced cash payments from our subsidiaries. Turning to capital on Slide 16. We continue to expect to invest approximately $45 million to $50 million in CareScout services in 2025 as we continue to build out the platform. This investment will go towards adding new products and customers, establishing a strong foundation to scale the business. This total excludes our payment of approximately $15 million for our strategic acquisition of Seniorly, which was funded from our existing holding company cash in the fourth quarter. Moving to shareholder returns. As Tom mentioned, we're very pleased that the Board authorized a new share repurchase program of $350 million. We repurchased $76 million of shares in the third quarter at an average price of $8.44 per share and another $29 million in October. For the full year 2025, we now expect to allocate between $200 million to $225 million to share repurchases. This range may vary depending on business performance, market conditions, holding company cash and our share price. We will continue to create value for shareholders through our share repurchase program. Our holding company debt stands at $790 million, and we have financial flexibility given the strength of our balance sheet and sustainable cash flows from Enact. We maintain a disciplined capital structure with a cash interest coverage ratio on debt service of approximately 7x. As Tom discussed, Santander's request for an appeal in the AXA Santander litigation has been granted. If the appeal is favorably resolved, Genworth still expects to recover at that time approximately $750 million, subject to movements in foreign exchange rates. We do not expect to pay taxes on this recovery. The new share repurchase authorization and updated share buyback guidance do not factor in any proceeds from the AXA litigation. If received, such proceeds could support incremental shareholder returns. Our capital allocation priorities remain unchanged. We will continue to invest in long-term growth through CareScout, return cash to shareholders through our share repurchase program when our share price trades below intrinsic value and opportunistically retire debt. In closing, we are delivering on our strategic priorities while proactively managing our liabilities and risk. The multiyear rate action plan and additional risk mitigation strategies are ensuring the self-sustainability of the legacy LTC block, and we will continue to focus on delivering sustainable long-term growth through Enact and CareScout while returning meaningful value to shareholders through share repurchases and opportunistic debt retirement. Now let's open up the line for questions.
Operator: [Operator Instructions] It appears there are no questions at this time. Ladies and gentlemen, I would now turn the call back over to Mr. McInerney for closing comments.
Thomas McInerney: Thank you very much, Lisa. And I want to thank everybody for joining the call today and for your continued interest in Genworth. And I'll turn the call back over to Lisa.
Operator: And our first question comes from Pete Enderlin with MAZ Partners.
Peter Enderlin: Yes. Okay. Well, first of all, congratulations on the way you've continued to manage all the multiple complicated moving pieces of this whole strategic picture. But second -- and this is kind of a hard question to ask and answer, I guess, but is there any meaningful way you can talk about the ultimate strategic long-term resolution of the LTC situation for the company? I mean you've done a lot to improve it itself and also your approach to it with the new operations you're undertaking. But if you look out, I don't know, 10, 20 years, whatever, where does that thing end up in relation to Genworth itself?
Thomas McInerney: So Pete, that's a significant question. And I would say, one, we continue to focus on making sure of the self-sustainability of the legacy life companies, and we're making significant progress with premium increases and benefit reductions. Second, as one of the slides shows, there are 71 million Americans 65 and older. There are 70 million baby boomers, 95% of whom do not have long-term care insurance. So CareScout Services is really designed to work with them if they do end up with long-term care disabilities and the projection is that 2/3 of baby boomers, Americans when they reach their 80s will have need for long-term care. CareScout Services is well positioned to help them assess what their care needs are, come up with care plans, and we've talked about the pricing on those and then refer those who need care to either our home care quality network or the assisted living communities. And obviously, the Seniorly acquisition really significantly expanded that network by about 3,000. So I think it's a huge market because of the aging baby boomers. And there are not a lot of players left today in the LTC space. So we think it's a big market. We're well positioned both on the service side, helping people decide how much care they need and where to get it. And then we offer discounts and incentives. And then on the insurance side, we have our first product that we are launching now, and there's a number of products that will be developed and brought to the market starting in the first quarter. So we're very optimistic given the size of the market, our 50 years of expertise in the market and the 2 CareScout units that we're very well positioned to take advantage of a big and growing need for Americans needing to figure out what care they need, find the care and then have us provide funding solutions for them.
Peter Enderlin: Is it too simplistic to say that the legacy LTC business is basically going to be a runoff and then the rest of it would be a stand-alone business that could eventually be literally separated from Genworth itself?
Thomas McInerney: So we're -- the new CareScout businesses are not connected to the legacy Genworth companies, they are owned, obviously, by the parent. And so yes, I mean, for the legacy business, it's a runoff, it's a long runoff because probably of the 1 million policyholders we have individual and group that runoff will be 30 years or more. But all the CareScout opportunities are in a separate business that will be run managed separately. And to your point, Pete, it will be able to stand on their own separate apart from the legacy LTC company.
Operator: [Operator Instructions] We'll take our next question from Ross Levin with Arbiter.
Ross Levin: My question is, at one point, you were generating some statutory income out of the legacy life or long-term care business. It seems like that's flipped to slightly negative over the last several quarters. Could you just talk -- I know it's small numbers in the context of the whole, but could you just talk about what's driven the transition to somewhat negative statutory earnings?
Thomas McInerney: Sure. Jerome, do you want to handle that?
Jerome Upton: Ross, thank you for the question. I would just highlight from a statutory income perspective, the biggest driver right now of the pressure that we're feeling is long-term care, and that's where the pressure is normally coming from. And the driver of that is basically we continue to see claims go up, and we continue to see pressure from benefit utilization. And what we do with that is we take all of that and we prioritize that and put that in our multiyear rate action plan, and we've been executing very, very well against our multiyear rate action plan, which provides some offset. But there's no doubt there's pressure from a long-term care perspective because of the claims. And those claims will continue to increase over the next several years because we've got some large blocks that are maturing. That's the biggest driver. Number two, life has been pressured from a mortality perspective, and that pressure has continued to come through. That has been offset in part because of the strength in the equity markets with our annuity program. So we have annuities, which when the equity markets go up, we get -- have some favorability that come through our statutory earnings. The one thing that I will -- and also the one thing I would highlight is we had legal settlements coming through in the prior year, which tamped down the pressure that we felt in LTC. And now those legal settlements are complete. The one thing from a U.S. Life perspective, we focus on the MYRAP. That business, we have told our investors that we are not going to put money in the business. We're not going to take money out of the business. We're focused on closing that gap with a multiyear rate action plan, and we're telling our investors to value the business at 0.
Ross Levin: Yes. Understood. I guess to the extent that maybe several quarters ago or a year or 2 ago, someone might have felt you were getting ahead of things in terms of being able to generate some statutory income via some of the modifications you were able to negotiate with your state regulators. Like why -- what has caused us to sort of fall behind the curve again, if that makes any sense or...
Jerome Upton: So Ross, you may -- there's a couple of things that I would highlight for you. Number one, several years ago, COVID was a highly pressured situation overall geographically in the population. But it created additional terminations or deaths that came through, and we saw some favorability or profitability that came through during COVID. That's number one. That is behind us now. Number two, we had some settlements, some very large settlements that came through that also increased our earnings or tamped down the pressure that we're feeling. And those are now gone, and we're seeing some of the larger books that we have in our in-force block and our LTC in-force block coming through and claims are going up.
Thomas McInerney: The only thing I would add to that, Ross, is I do think you are going to see quarter-to-quarter variation. There'll be some quarters where we'll have statutory earnings. Usually, the first quarter of the year is a good one these claim terminations are higher than other quarters. It's always hard to predict when states, particularly large states, will grant premium increases. And so depending on the timing of that, it could impact quarter-to-quarter results. In addition, we have a significant plan to continue to be successful in getting benefit reductions. I think what the slides show that we're at 60%, 61% have taken a benefit reduction. That also helps. So I think over the long run, the statutory income will -- I think of it as breakeven. There will be quarters that will be positive, quarters negative but breakeven over time. And we really do depend on the MYRAP premium increases, benefit reductions. I think over time, we've done extremely well and certainly compared to others in the industry. But it is going to continue to be the case that from a statutory perspective, quarter-to-quarter, there'll be positive quarters and negative quarters. But overall, as Jerome said, we value the business as we think we'll be able to ultimately achieve through the MYRAP enough premium increases, benefit reductions to pay all the claims that we forecast going forward.
Ross Levin: Okay. So if you achieve your ambition in terms of the MYRAP, you would not expect to ultimately generate statutory income out of the legacy long-term care block?
Thomas McInerney: Well, I think we look at that as the premium increases and benefit reductions will allow us to be at breakeven going forward and be able to pay all the claims that we project.
Operator: It appears that there are no questions at this time. Ladies and gentlemen, I will now turn the call back over to Mr. McInerney for closing comments.
Thomas McInerney: Thank you very much, Lisa, and thank you to Pete and Ross for those questions. I think they are very good questions, and hopefully, we addressed them well. Thank you to all of you joining the call today. We appreciate your interest and your ownership in the company and look forward to catching up with you when we release the fourth quarter results in February. And with that, Lisa, I'll turn the call back to you to close out the call.
Operator: Ladies and gentlemen, this concludes Genworth Financial's Third Quarter Conference Call. Thank you for your participation. At this time, the call will end.